Operator: Good morning and welcome to the Air Products & Chemicals Fourth Quarter Earnings Release Conference Call. Today's call is being recorded at the request of Air Products. Please note that this presentation and the comments made on behalf of Air Products are subject to copyright by Air Products and all rights are reserved. Beginning today's call, Mr. Simon Moore, Vice President of Investor Relations. Please go ahead.
Simon R. Moore - Air Products & Chemicals, Inc.: Thank you, April. Good morning, everyone. Welcome to Air Products fourth quarter 2018 earnings results teleconference. This is Simon Moore, Vice President of Investor Relations. I'm pleased to be joined today by Seifi Ghasemi, our Chairman, President and CEO; Scott Crocco, our Executive Vice President and Chief Financial Officer; and Sean Major, our Executive Vice President, General Counsel and Secretary. After our comments, we will be pleased to take your questions. Our earnings release and the slides for this call are available on our website at airproducts.com. Please refer to the forward-looking statement disclosure that can be found in our earnings release and on slide number 2. Now, I'm pleased to turn the call over to Seifi.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you, Simon, and good morning to everyone. Thank you for joining us on our call today. We do appreciate your interest in Air Products. For the quarter and the year, the talented, committed, and motivated team at Air Products delivered another excellent set of safety and financial results. Our full year adjusted earnings per share of $7.45 is up 18%. This is the highest annual EPS in Air Products' history and our fourth consecutive year of double-digit growth. Our record quarterly adjusted earnings per share of $2 is up $0.14 versus last year. I'd like to remind everybody that this is the 18th consecutive quarter that we have reported year-on-year quarterly earnings per share growth. We continue to be the safest and most profitable industrial gas company in the world with an EBITDA margin of about 35%. We have the strongest financial position in our industry. This allows us to continue to commit a significant amount of capital to grow Air Products into the future. We generated over $10 per share of distributable cash flow this year and returned about 40% of that or almost $900 million to our investors via dividend. Our team continues to prove their ability to execute the largest and most complex projects in the history of our industry, successfully completing mega projects in India, Saudi Arabia, China and the United States. And most importantly, we have a great team of dedicated, talented and committed people at Air Products who stay focused on working hard every day to serve our customers and create value for our shareholders. Now, please turn to slide number 3. We continue to improve our safety results with a reduction of 75% in our lost time injury rate and a reduction of 50% in our recordable injury rate. These results can only happen when all of our 15,000 employees around the world are committed to safety and continuous improvement. On slide number 4, you can see our goal for the company to be the safest, most diverse, and most profitable industrial gas company in the world providing excellent service to our customers. Now, please turn to slide number 5. You can see our overall management philosophy that we have talked to you about many times over the last four years. But it is worth repeating because we continue to be focused on shareholder value, capital allocation, and un-empowered and decentralized organization. Now, please turn to slide number 6. This is our updated Five-Point Plan that I have shared with you last quarter. We remain focused on sustaining our lead in safety and operational performance. We see tremendous opportunities to deploy capital in value-creating projects in our core industrial gas business primarily in our onsite business. Scott will take you through the numbers, but let me provide you a quick overview of our progress. In fiscal year 2018, we have spent about $1.5 billion on just the growth projects including M&A. In addition, we have more than $6 billion remaining to spend on our already committed future investment opportunity. You have heard Scott and I emphasized many times that we are committed to managing our debt balance to maintain our current targeted Aa2 rating. At that rating, we believe we have almost $14 billion remaining available to invest, including debt capacity today and investible cash flow over the next four years. So, we have already spent or committed about half of the total $15 billion available over the next five-year period of fiscal year 2018 to fiscal year 2022. This is great progress so far and I remain very confident, and I repeat, very confident of our ability to deploy the rest of this capital into high-return industrial gas projects that generate significant value for our shareholders. The fourth point of our plan is to continue to further improve our 4S culture, meaning safety, simplicity, speed, and self-confidence. And we are working to create an environment that our committed and motivated team brings that positive attitude and open minds to work every day. And finally, we do have a higher purpose to create an open and diverse environment for all of our people so that everyone feels that they belong and their contribution is valued. Let me be clear. This is Air Products' Five-Point Plan and remained and we remain focused on executing this strategy regardless of what others may do in our industry. Our goal is not to be the biggest but to be the best industrial gas company. Now, please turn to slide number 7 for a summary of our fiscal year accomplishments. I want to thank the very hardworking teams who have successfully executed some of the largest projects in the history of our industry. We completed the first year of operation of the large industrial gas complex for BPCL refinery in Kochi, India. This project took more than 10 million man hours to build and we did this without any safety incidents. The facility has successfully supplied hydrogen, nitrogen, oxygen, and steam that enables BPCL to produce cleaner fuels. With this critical milestone as the largest air separation unit project in the history of our industry attained mechanical completion. The Jazan, Saudi Arabia air separation unit complex was completed with zero lost time injuries in 25 million man hours of work, a tremendous accomplishment by the team, particularly given the remote location and local climate challenges. Just to put that in context for you, that is equivalent to over 1,000 people working over 10 years with no lost time injury. We expect the six air separation units to come on stream in 2019. We successfully closed and started up the Lu'An, China air separation unit and gasifier joint venture, which has successfully been supplying syngas to Lu'An for their chemical production. The plant is fully operational, with all four gasifiers in service. This is a great accomplishment for our China team and I congratulate and thank them for a job well done. In June, we held the ribbon cutting event for our new world-class steam methane reformer in Baytown, Texas that provides CO and hydrogen to Covestro and other customers along our Gulf Coast pipeline network. It's great to see these projects starting up and contributing to our growth. But most importantly, it demonstrates to our customers and our employees that Air Products can be counted on to successfully deliver on our commitments, safely building and operating large complicated projects that provide critical gas supply to our customers. Our proven reliability and successful execution of these projects helped us to win additional projects in China, Korea, India, Louisiana and Texas for customers in the electronics, chemical and manufacturing markets. One of these is for Eastman in Kingsport, Tennessee, where we have been successfully supplying oxygen and nitrogen to their coal gasifiers for 35 years. We continue to commit to world-class engineering and technology resources where we need them around the world including Saudi Arabia, India and China. These are in addition to our existing engineering and technology capabilities in the U.S., U.K. and China. And in January, we announced a $0.15 dividend increase, the largest in the company's history. This 16% increase marks the 36th consecutive year Air Products has increased our dividend. In fiscal year 2018, we shared about 40% of our distributed cash flow or about $900 million with our investors via the dividend. And with our focus on creating our own growth opportunities, we continue to successfully execute on our gasification strategy. So please turn to the next slide, slide number 8. Gasification is a process that has been in existence for many years and Air Products has been involved in this market for many years. The process basically use oxygen plus coal, liquids or natural gas to produce synthetic gas which is in a combination of carbon monoxide and hydrogen. This syngas can then be used to produce chemicals, diesel fuel, high-end olefins, polymers, hydrogen and/or power. Gasification has significant benefits that it enables an environmentally friendly way to use lower value feedstocks. Over the last few years, Air Products was successful in building very large air separation units to provide oxygen to customers operating their gasifiers in China and Saudi Arabia. Over the last year, we announced four large projects where Air Products will own and operate the gasifiers and syngas clean-up, and provide syngas or related products to our customers. The key is that these projects are consistent with our onsite business model, then we don't take any raw material or product volume or price risk. First, I mentioned the Lu'An project that is successfully supplying syngas to Lu'An for their chemical production. Second, in August, we announced the $8 billion gasifier power project in Jazan, Saudi Arabia, the same site where we just finished building the world's largest air separation unit complex. This project continues to move forward, and we continue to expect onstream late in calendar year 2019. Third, we continue to make great progress on the $3.5 billion air separation unit gasifier project to provide syngas to Yankuang in Shaanxi Province. We expect our ownership of the joint venture to be 55% to 60% with the project expected onstream in 2022. And finally, we also announced an agreement for the first 100% Air Products gasifier project to provide syngas to Juitai in China expected onstream in 2022. A key aspect of our strategy is the critical gasification technology. Please turn to slide number 9 for an overview of Air Products two gasification technologies. We have already seen the benefits of our acquisition and joint venture for the Shell solid and liquid gasification technology. This is the same technology being used in the Lu'An and Jazan gasifiers. This is a very well-proven technology with hundreds of gasifiers built over the last few decades. Another accompaniment is our recent announcement yesterday to acquire the GE gasification business and technology. The GE gasifier technology was originally developed by Texaco and also hundreds of units built over the last few years. We view these technologies as complementary. There are specific feedstock and product situation for which one technology or the other is better suited. These are technology acquisitions that put us in a better position to win the very large gasification onsite projects in the future. Now, please turn to slide number 10 which shows the results of our three key metrics for the quarter. We remain committed to our goal to be the most profitable industrial gas company in the world as measured by each of these three key metrics. Now, please go to slide number 11, which has always been my favorite slide, showing that approximately 1,000 basis points improvement in our EBITDA margin in the last four years. Finally, please turn to slide number 12. Over the last four years, I have stressed the fact that we are committed to deliver at least 10% per year growth in our EPS over the long-term. You can see that we have actually delivered 14% compounded annual growth over the last four years. And this year, we delivered 18% growth. We will continue to execute our strategy that we believe will drive our EPS by at least 10% per year on average over the coming years. Now, I would like to turn the call over to Mr. Scott Crocco, our Executive Vice President and Chief Financial Officer, to discuss our results in detail. Scott?
Michael Scott Crocco - Air Products & Chemicals, Inc.: Thank you very much, Seifi. Now, please turn to slide 13 for our full year results from continuing operations. Sales of almost $9 billion increased 9% versus last year, primarily on 6% higher volumes and 1% higher price. We saw strong volume increases across all three regions, partially offset by lower activity from the Jazan project in Global Gases. Excluding Jazan, volumes were up 10%, with about half from new plants. Versus last year, pricing was up 1% primarily driven by our China and Europe merchant businesses. Positive currency was driven by the euro, British pound and the Chinese RMB. EBITDA of over $3.1 billion improved by 11%, driven by the higher volumes, positive pricing, currency, and equity affiliate income, partially offset by higher costs. Record EBITDA margin of 34.9% was up 70 basis points. Record adjusted earnings per share of $7.45 was up 18% versus prior year. ROCE of 12.4% improved 30 basis points versus last year. The impact on ROCE of our profit improvement is still moderated by the larger denominator which increased as a result of the gain from the PMD sale in early 2017. The FY 2018 denominator has the PMD gain in all five quarters, while FY 2017 only has three quarters with the PMD gain. Please turn to slide 14. Our record adjusted full year continuing operations EPS of $7.45 increased by $1.14 per share. Overall, higher volumes increased EPS by $0.71 per share. Price and raw materials taken together increased EPS by $0.16. Net cost performance was unfavorable $0.45 as productivity was again offset by a few factors, including inflation, planned maintenance costs, and the end of the cost reimbursement for our Port Arthur CO2 capture project. We also continue to see higher costs in strategic areas focused on pursuing exciting growth opportunities. Currency and foreign exchange was $0.16 favorable primarily due to the euro, British pound, and the Chinese RMB. Equity affiliate income added $0.15 primarily due to underlying operational strength in Mexico and Italy. The overall tax rate was a $0.44 benefit versus last year with about $0.33 from the new Tax Act. For both fiscal year 2019 and Q1 FY 2019, we expect a tax rate of about 20%. Finally, we had other items that combined for a positive $0.02. This includes $0.08 from higher non-operating income primarily from higher interest income. This was somewhat offset by $0.03 higher interest and a $0.03 impact from higher shares outstanding. Now, please turn to slide 15. We had a very strong cash flow year with over $10 per share or $2.2 billion of distributable cash flow which is up over $300 million from prior year. From a $2.2 billion of distributable cash flow, we paid almost $900 million or about 40% as dividends. Even with this robust dividend, we still have over $1.3 billion available for high-return investments in our core industrial gas business. Slide number 16 provides an update on our capital deployment, as Seifi previously mentioned. We are making it easier for investors to understand how much we have spent, how much we have committed, and how much remained of our capital deployment capacity. The first point is that we are tracking capital deployment over the five-year period of FY 2018 through FY 2022. As you can see, we spent about $1.5 billion on growth projects including M&A but excluding maintenance capital. In addition, we have committed but not yet spent almost $6.5 billion on projects in M&A. You've heard both Seifi and I emphasized many times the importance of managing our debt balance to maintain our current targeted Aa2 rating. If we maintain this rating at a debt level of about 3 times the last 12 months EBITDA, we have about $8.5 billion available to invest today. And based on the last 12 months investable cash flow, we expect to have at least $5.5 billion over the next four years. Therefore, in total, we have almost $14 billion remaining to invest. The $1.5 billion we have spent this year and the $14 billion available gives us over $15 billion of total available capacity from FY 2018 through FY 2022. So, you can see we have spent about 10% and committed about half of the total available capacity. Turning to slide 17, I'll make a few comments on our quarterly results. Sales of $2.3 billion increased 4% versus last year as volumes are up 3% and price contributed 1%. We saw strong volume increases in Americas and Asia, partially offset by lower activity from the Jazan project in Global Gases. Excluding Jazan, volumes were up 6%, with about 3% from new plants primarily driven by the Lu'An project. Versus last year, pricing impacted our overall sales by a positive 1% primarily driven by China. Pricing changes are driven by our merchant business where we saw a 3% increase. EBITDA of $822 million improved by 7% driven by the higher volumes and equity affiliate income, partially offset by higher costs. EBITDA margin of 35.8% was up 90 basis points driven by the higher volume. Record adjusted quarterly continuing operations EPS of $2 per share was up 14% versus prior year. Please turn to slide 18. Our adjusted EPS of $2 increased by $0.24. Overall, higher volumes increased EPS by $0.23 per share. Net cost performance was unfavorable $0.16, as productivity was again offset by a few factors. In addition to the ones that I had mentioned during my full year comments, we also saw higher supply chain costs in the Americas and Asia. Equity affiliate income added $0.04 primarily due to the underlying operating strength in Mexico and Italy. The overall tax rate was a $0.15 benefit versus last year. You can also see we had several non-GAAP items that totaled to $0.05 benefit for the quarter. These included a pension settlement, a valuation change due to a change in inventory accounting policy, and a few tax reform related items. Now, to begin the review of our business segment results, I'll turn the call back over to Seifi.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you, Scott. Please turn to slide number 19 Gases Asia where we continue to deliver strong sales and profit growth, thanks to the efforts of our excellent and committed team in Asia. Sales increased 15% versus last year driven by very strong volume growth and higher prices. Volumes were up 14%, with new projects there driving about 10% of the increase, while base business and acquisitions are roughly equal to the rest. Lu'An was a significant contributor this quarter responsible for about half of the total sales growth. Pricing for the region was up 3% versus last year, the sixth consecutive quarter of year-on-year improvement. This also marked a 2% sequential increase from the prior quarter showing the continuing strength in this region's merchant market primarily in China. Strong base volumes, the addition of Lu'An and favorable pricing drove profits and margins higher. EBITDA increased over 20% and EBITDA margin improved 210 basis points compared to prior year. Consistent with our prior guidance, Lu'An contributed about $0.04 of EPS this quarter. As I said, we are pleased that all four gasifier trains have come on stream and expect Lu'An to contribute more than $0.25 earnings per share in fiscal year 2019. We continue to believe that our business in China will improve in the coming year, and we have not seen any negative impact as a result of the imposed tariffs. Now, I would like to turn the call back to Scott to discuss our Americas results. Scott?
Michael Scott Crocco - Air Products & Chemicals, Inc.: Thank you, Seifi. Please turn to slide 20 for a review of our Gases Americas results. For the quarter, sales grew 4% on higher volumes and price. Volumes improved 4% as both onsite and merchant volumes were strong. Our new plant in Baytown, Texas supported increased hydrogen demand on the Gulf Coast. Merchant volumes also grew despite the termination of a wholesale contract in Q4 of FY 2017. Overall price was 1% higher which is our first positive pricing result in the last six quarters. Americas EBITDA was roughly equal to prior year as improved volume and price, as well as higher equity affiliate income due to better results in Mexico were offset by increased costs. While we did have positive productivity, this was more than offset by higher power costs, and we no longer have the cost reimbursement for our Port Arthur CO2 capture project. We saw higher transportation costs in part due to driver shortages. Finally, the difficult business environment in South America negatively impacted our ability to collect from certain customers. As a result, EBITDA margin was down 160 basis points. Sequentially, sales and EBITDA both improved 4%. Strong volumes grew higher sales and EBITDA was further supported by lower cost as maintenance activities were lower this quarter. Now, I would like to turn the call back over to Simon to discuss our other segments. Simon?
Simon R. Moore - Air Products & Chemicals, Inc.: Thank you, Scott. Please turn to slide 21 for a review of our Gases EMEA results. Sales were up 8% primarily driven by a 7% higher energy pass-through mostly due to a significant increase in natural gas prices in India. Volumes contributed a positive 2% due to merchant growth as well as recent acquisitions. Higher merchant pricing added another 1%. Improved merchant markets lifted both price and volume in our packaged gases and liquid bulk businesses. As a reminder, the India plant was fully on stream in Q4 last year so there was no year-over-year benefit in Q4 this year. EBITDA declined 5% as unfavorable currency and higher cost negated the positive pricing effect and better equity affiliate performance in Italy. Power costs in Europe have risen sharply during the quarter and our team is working hard to recover these higher costs through pricing actions. EBITDA margin was 31.4%, a drop of 410 basis points. Excluding the impact of higher energy pass-through, EBITDA margin was down 180 basis points primarily due to the higher power costs. Sequentially, EBITDA margin was down but would have been nearly flat excluding the higher energy pass-through. Now, please turn to slide 22 for a brief comment on our Global Gases segment, which includes our air separation unit sale of equipment business as well as central industrial gas business costs. EBITDA was flat although sales were down due to lower project activity as we approach the conclusion of the Jazan ASU sale of equipment project. We continue to expect the Jazan ASU project on stream in phases in fiscal 2019. But we do expect the Jazan ASU overall to be a headwind for FY 2019 versus FY 2018. Now, please turn to slide 23 for a brief comment on our Corporate segment which includes our LNG business, our helium container business and our corporate costs. Sales increased modestly compared to prior year as we began to see renewed interest in LNG projects. Overall segment profit was up due to additional equipment sales and lower costs. We continue to be optimistic about the future prospects for the LNG business but only anticipate a modest earnings improvement in FY 2019. Now, I'm pleased to turn the call back over to Seifi for a discussion of our outlook.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you, Simon. Our team around the world, all of us, continued to be very excited about Air Products future. Our safety, productivity and operating performance continue to provide the foundation for our continued growth. And our Five-Point Plan provides the framework to drive our success going forward. As I said before, we have the financial capacity, the opportunities and the team to successfully win key growth projects. There is no doubt that there is uncertainty in the world. I guess that's an understatement. And while we cannot predict or control worldwide political or economic developments, we do have control over the operational performance and growth of Air Products and we are confident we will continue to deliver on the commitments that we have made. Let me address what we are seeing relative to global trade relationships and tariffs. Very simply, we have not, and I stress, not seen any material impact on Air Products at this point. Our business is local so we don't have any direct exposure to import/export tariffs. Also, we have not seen customers changing their behavior or attitude toward us and we have not seen any impact on our major projects or interaction with customers in the different parts of the world. Now, please turn to slide number 24. We are all working hard every day to be the safest, most diverse, and most profitable industrial gas company in the world, providing excellent service to our customers. Our guidance for fiscal year 2019 is for a range of $8.05 to $8.30. At midpoint, our guidance represents 10% growth over our very strong fiscal year 2018 performance. As I said, we remain confident in our ability to deliver on our commitment to grow EPS by more than 10% per year on average in the future. For quarter one of fiscal year 2019, our earnings per share guidance is $1.85 to $1.90. At midpoint, up 5% over last year. But I would like to remind you that in quarter one of fiscal year 2018, there was an $0.08 benefit from a plant sale in Asia that will not repeat. Excluding this item, our quarter one guidance is up 10% versus prior year. We expect our capital expenditure to be in the range of $2.3 billion to $2.5 billion in fiscal year 2019. We expect the Jazan gasification power joint venture to close late in calendar 2019, so we have not included this in our fiscal 2019 CapEx forecast. You can also see we have about $7 billion of commitments including projects and M&A. This is up significantly as it now includes the Jazan, Yankuang, Juitai gasification projects. And then, please turn to slide number 25. As always, our real competitive advantage is the commitment and motivation of the great team we have at Air Products. That is what allows us to continue to generate our superior safety and operational performance. I want to thank all of our 15,000 people around the world for their total commitment and hard work and for embracing the opportunities in front of us with energy and a spirit of working together. And as I always say, I'm very proud to be part of this winning team. As you know, execution without strategy is aimless and our strategy without execution is worthless. Our Five-Point is our strategy. Our people's execution against this strategy in the years to come will ensure our continued success and value creation. Now, we are delighted to answer your questions.
Operator: And we'll take our first question from P.J. Juvekar from Citi. Please go ahead.
P.J. Juvekar - Citigroup Global Markets, Inc.: Yes. Hi. Good morning, Seifi.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Good morning, P.J. How are you this morning?
P.J. Juvekar - Citigroup Global Markets, Inc.: Good. In Americas and Europe, the leverage from sales growth doesn't seem to be coming down to the EBITDA line. Last quarter, it was maintenance cost. This quarter, I think you mentioned high power cost. When can we begin to see the leverage flowing to the EBITDA line?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, first of all, you are absolutely correct that the margins are – kind of the marginal contribution has been coming down. You mentioned the reasons very accurately in Americas which is a combination of a lot of things, hydrogen turnarounds, driver shortages, and a lot of other things that I can delineate for you. And in Europe, we have had a significant issue with power cost that we haven't been able to recover. We are working very hard and we are hoping that we would reverse these trends in 2019.
P.J. Juvekar - Citigroup Global Markets, Inc.: Okay. And then quickly on merchant utilization, can you compare them around the world? Now that you are getting pricing in each region, what are we seeing in terms of utilization in each region?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Overall, our utilization in Europe is still around 78%, 79%. In the U.S., it is approximately the same. In China, it obviously differs from different parts of China. There are part of China where our utilization is almost 90% and that is what is helping us to drive the prices up.
P.J. Juvekar - Citigroup Global Markets, Inc.: Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you, P.J.
Operator: And we'll take our next question from Robert Koort from Goldman Sachs. Please go ahead.
Robert Koort - Goldman Sachs & Co. LLC: (39:43-39:49) year-over-year variance in how you drove your EPS growth. As we look into 2019, I think you mentioned Jazan would be a headwind. I don't suspect tax will be as big of a tailwind and maybe exiting the fourth quarter of the U.S. and the Americas and EMEA were not that growing so much. So, can you give us a sense of what those buckets would look like that drive that pretty significant EPS growth you see in 2019?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: What, the main reasons – first of all, good morning, Bob. The main drivers for increasing our EBITDA significantly next year, and as you say, we are suggesting about 10%. But I mean that is actually more than that if you take away the effect of the tax thing. But fundamentally, the drivers are our growth projects that are coming onstream in China, in India, in the U.S. So – and then, we are hoping that there are some other projects that we haven't announced would materialize. And then in addition to that, we are hoping that the utilization rates will maybe improve slightly in China. I don't know about how it will work out in the U.S. because, as you know, manufacturing in the last six months in the U.S. has actually gone down. And so those are the factors. And then in addition, Bob, I have to say that I'm not that excited about our performance on cost last year, and I'm hoping that we will have additional productivity and cost improvement programs that would help deliver the results.
Robert Koort - Goldman Sachs & Co. LLC: And if I might follow up, Seifi, you guys had about a 1% price improvement this year. Can you give us some sense of what you might see in fiscal 2019?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, Bob, first of all, the 1%, I'm sure you know that the 1% is over our total portfolio. So since half of our portfolio is onsites where we don't get any price increase, therefore, the price increase on our merchant side is really 2%. But as far as the future, because of the nature of our industry, I would hesitate to make any comment on that.
Robert Koort - Goldman Sachs & Co. LLC: All right. Thanks, Seifi.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you very much, Bob.
Operator: And we'll take our next question from Jeff Zekauskas with JPMorgan. Please go ahead.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Hi. Good morning.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Good morning, Jeff. How are you this morning?
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Very fine. How do you think the Praxair-Linde merger will change the industrial gas landscape or perhaps will change the opportunities for Air Products in the coming year?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, Jeff, I'm obviously very hesitant to make any comments about other people's business. But as I said during my comments, we do not expect any change in our strategy. We have said that publicly and I recently put out a memo to our own people. We had a strategy, we are executing that strategy and quite frankly, I do not see any change or any reason for change as a result of the merger because the merger hasn't really changed anything. It's just a little bit moving the pieces on the chessboard. So we do not – and in terms of opportunities, actually, we think that that might enhance opportunities for us because usually, there is a customer who was going to divide their business by four, giving each one of us 25%, now, they will divide it by three, and therefore, we will get more share and the other guys will get less share. So, we actually think that overall, as I said, no change in terms of what we do and if anything, it's slightly positive.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. Can you compare what you've paid for the GE technology business to what you've paid for that Shell business? And what are the annual revenues of the GE business and what were the annual revenues of the Shell business?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, on both of those things, we have an agreement with both Shell and GE not to disclose those numbers. I would have not minded disclosing them, but they don't want to do that. And in terms of what we paid for them, let's just say a general thing, that's approximately similar.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay, great. Thank you.
Simon R. Moore - Air Products & Chemicals, Inc.: Seifi said before, the value creation of those acquisitions is much more about the ability to be in a better position for the big onsite projects than the specifics associated with the technology licensing revenues.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Absolutely. Because we bought the business for – and the Shell business, the acquisition of that has given us significant advantage in knowing the future projects that might happen. So, that has been a very successful thing, and I'm very happy that we've been able to reach an agreement with GE. It took a very long time. But they have an excellent technology, it's the former Texaco technology. I'm very familiar with that. I was trying to promote that in the 1990s with Foster Wheeler to try to get BOC in that business, but that didn't happen. So, I'm very pleased that we were able to acquire that. Thank you, Jeff.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. Good. Thank you so much.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Sure.
Operator: We will take our next question from John McNulty from BMO Capital Markets. Please go ahead.
John P. McNulty - BMO Capital Markets (United States): Yeah. Thanks for taking my question. On the GE gasification business, I guess when you think about how much it potentially expands your addressable market, is that the right way to think about it. And if it is, how much does that help when you kind of bundle that in with the Shell platform as well?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: First of all, good morning, John. And secondly, it almost doubles because GE and Shell technologies are approximately equal weight in terms of what is being used. And therefore, it literally doubles the exposure that we have and our ability to promote that technology. And obviously, if we have the technology for a gasifier, our chances of building and owning and operating that gasifier significantly increases.
John P. McNulty - BMO Capital Markets (United States): Great. Thanks. And then just a question, you had announced a couple of – I guess a couple of new projects during the quarter, the Kingsport facilities and also the, I believe, it was liquid helium platform as well. I guess can you help us to understand how to think about the earnings power on those? I guess the ones tied to Eastman sounds like they're more replacement project, so if you can kind of help us to think about how to quantify that that would be helpful.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Sure, John. And John, first of all, Eastman coal gasification project, it is more than replacement. It is actually – there is some additional volumes that they will need. But that will contribute to our earnings about two years from now once – after we have built the plant. And in terms of the other things, we also announced Juitai, which is a big project about $600 million investment and that is going to come on stream on 2021.
John P. McNulty - BMO Capital Markets (United States): Great. Thanks very much.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you.
Operator: And we'll take our next question from Vincent Andrews with Morgan Stanley. Please go ahead.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Good morning, everyone.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Good morning, Vincent. How are you?
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: I'm very well. Thank you, Seifi. Another question on the GE gasification technology, the slide talks about adaptable to a wide range of feedstocks. Maybe you could just help us understand sort of what the principal wide range of feedstocks is in there and maybe again how that expands your palate?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: The principal applications on that is in coal and natural gas gasification. They have an excellent technology for that. And the technology is related to the quality of the coal, the ash content of the coal whether you use a slurry system and all that. And that is why we were keen to have both Shell and GE because then we can tailor make it to the specific situation that the customers have.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. And just as a follow-up, you're referencing South America an inability to collect on payments. Is that a function of customers being below minimum take or pay or is that a separate type of issue?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: It's just the issue of some customers going bankrupt...
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Ah, okay.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: ...which have been plenty of them.
Michael Scott Crocco - Air Products & Chemicals, Inc.: And our merchant business (48:42)
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Yeah.
Michael Scott Crocco - Air Products & Chemicals, Inc.: We have very little onsite down South America.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Right.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. Thank you very much.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you.
Operator: And we'll take our next question from Christopher Parkinson from Credit Suisse. Please go ahead.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: Great. So, you've recently been seeing more positive in projects in the U.S. and India and always the Middle East for obvious reasons. But just given the remaining plus or minus $8.5 billion left to deploy over the next few years in these projects and these geographies, are the recent acquisitions, I mean obviously Shell and GE were both very intentional. Are they complementary and is there anything that you're attempting to triangulate for the ongoing bidding processes of these potential projects, or are there other technologies you still feel you would need to acquire?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, I don't want to comment on the second part but first of all, good morning, Chris.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: Good morning.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Second thing is that when you look at the GE technology, GE technology has been chosen actually for some very big projects in India. Some of it has been publicly announced. So that, I think, is giving us an opportunity. And then obviously, we are looking forward to deploying some of these for projects in the U.S., absolutely.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: Got it. And just given the volatility of the electricity rates in Europe and just broadly, can you just give us the puts and takes of the merchant market and kind of how you're thinking about that not only over the next quarter but over the next year and what you're hearing from your team there? Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, the thing is that our teams are obviously optimistic but they are in no position to predict what happens to Brexit or what happens to the elections tonight in the U.S. So we are at the mercy of industrial production. GDP really doesn't mean very much to our business because it includes financial activity and people going out to dinner. We are focused on industrial production and that we have given you the guidance on the basis of – they have been a little bit conservative. We don't see significant improvements. So now, if for some magic reason things significantly improve, we'll benefit from that but we have been on the cautious side.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: Thanks, Seifi.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you, Chris.
Operator: And we'll take our next question from Duffy Fischer from Barclays. Please go ahead.
Michael Leithead - Barclays Capital, Inc.: Good morning, guys. This is Mike Leithead on for Duffy this morning.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Hi, Mike.
Michael Leithead - Barclays Capital, Inc.: Hi. Seifi, could you maybe expand on the synergies of having both GE and Shell's gasification technology and what I mean by that is in your mind, does having both technologies provide you with a meaningful bidding advantage versus saying having one or the other so, sort of a one-plus-one-equals-three-type equation? Just how should we think about the complementary nature of these?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, just think of a situation, if there are 10 projects and half of them are using Shell and half of them are using GE, by owning the GE technology, now we have an opportunity to participate in all 10 rather than 5 of them. So, it is complementary, and it does expand our scope. It's actually a very positive thing, Mike.
Michael Leithead - Barclays Capital, Inc.: Got it. That's helpful. And then maybe one for Scott, could you just remind us on how the P&L impact shifts for the Jazan ASUs as the project is complete and we start to ramp that up in 2019?
Michael Scott Crocco - Air Products & Chemicals, Inc.: So, yes. Thanks for the question. So, in terms of Jazan, two parts, there's the SOE that we've been doing over the last couple of years. That's – as Seifi mentioned I think in the prepared remarks, that's wrapping up here in the next year. And so, you'll see that as a headwind and again, I think Seifi addressed that earlier. Then, our 25% that we own for the long-term supply contract is going to be an equity affiliate, and it's going to be a very, very small contribution. So, not much in there going forward from that portion of the Jazan opportunity.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Can I just add? But that is for the air separation unit part. That means basically, we are saying that you are not going to see a lot of – actually, you're going to see a headwind from the air separation part in 2019. But the gasifier part is the big part and that one is going to be a significant contribution in 2020 after we close it in 2019.
Michael Leithead - Barclays Capital, Inc.: Great. Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Sure.
Operator: And we'll take our next question from David Begleiter with Deutsche Bank. Please go ahead.
David I. Begleiter - Deutsche Bank Securities, Inc.: Good morning, Seifi. How are you?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: I'm fine, David. I haven't seen you for a while. How is everything?
David I. Begleiter - Deutsche Bank Securities, Inc.: Very good. Thank you. Seifi, just looking at your large project activity, could you work around your key regions; China, India, the Middle East, and the U.S., talk about the pace and cadence of activity that you're seeing today?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Okay. We see significant opportunities still in the U.S. Some of these projects were delayed but there are other projects in the U.S., whether they are methanol projects, whether they are ammonia projects and all of that. We are obviously involved in all of them and I hope they materialize because as you know, our preference, if the opportunities exist, that we would invest all of our $15 billion in the US. I mean that goes without saying, this is the place – our home base and this is where we want to invest. So we see still opportunities in the U.S. Then there are significant, and I mean significant opportunities in China. They are – there's more projects than we can handle quite honestly right now. There is – starting to have significant opportunities in India because of the change in the law that they had about coal ownership. So a lot of people are participating in that and there was a big announcement about the fertilizer project which is gasification in India and all of that. So we're seeing that. In Saudi Arabia, you have seen the opportunities and we believe that there will be opportunities in other parts of the world. I don't want to be that specific but the pipeline is pretty robust and with us being on top of both technologies which are the key technologies being used, I think we should have a competitive advantage. Obviously, time will tell and the results will back up what we are claiming, but we remain very optimistic.
David I. Begleiter - Deutsche Bank Securities, Inc.: Very good. And Scott, following up Bob's earlier question on the 2019 earnings bridge, you have about a $0.75 forecast of increase. Could you just, broadly speaking, break out that $0.75 bridge between 2019 and 2018, if possible?
Michael Scott Crocco - Air Products & Chemicals, Inc.: Well, we don't give out all the specifics. I think though Seifi in his comments talked about the new on streams, the full year impact, as well as new things coming on stream, and hopefully favorable volume growth and pricing, so forth. Let me add a couple of things. Tax as well as currency. So we see, as I think I mentioned in my prepared remarks, 20% effective tax rate book for next year, which would translate into about a $0.10 headwind. And it's really driven by the absence of some favorable things, some favorable tax audit settlements we had in this year. So, that's part of the bridge into 2019. The other is currency and we see somewhere on the order of about a $0.10 to $0.15 headwind on currency. And just recall the way that we look at this, we just take the last data points on currency and then just move that sideways through the year as opposed to try to project where rates are going to go. Let me give you, so everybody can have their own view where currency is going to go and again our view is at this point in time it's about $0.10 to $0.15. Let me give you the rules of thumb that you can apply to whatever your own assumptions are. So if we move the RMB by 10% and as always, I want to remind folks this is just mathematics, right? It's just translation. There's no transaction in there. So, if you move the RMB by 10% that translates into about a $0.12 change for the year. The euro same 10% swing and in exchange would be about $0.09. And then there's a handful of other ones that each of which are about $0.03 to $0.04 that includes the pound and the Korean won, Taiwanese dollar and the Canadian dollar. So, each of those individually if the exchange moves about 10% to be $0.03 to $0.04 on an annual basis and what I've just given there plus the U.S. sales is about 90% of our sales. So, hopefully that's helpful. So, you can put it in your models.
David I. Begleiter - Deutsche Bank Securities, Inc.: Very helpful. Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you, David.
Operator: And we'll take our next question from Steve Byrne with Bank of America. Please go ahead.
Stephen Byrne - Bank of America Merrill Lynch: Yes. Thank you. Would you characterize the number of coal gasification projects under consideration in China including refurbishment of old gasifiers as being in the neighborhood of a few or more likely a few dozen?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: How about like 50?
Stephen Byrne - Bank of America Merrill Lynch: Okay. And to the extent that the new plants are much more efficient than the old ones, what's the role of the Chinese government in any of these? Are they providing any support financing wise or streamlined regulatory path?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Most of these companies that are doing this are state-owned anyway. So, they are 100% owned by the government. Therefore, as they invest, they obviously have the support of the government.
Stephen Byrne - Bank of America Merrill Lynch: And just lastly, your outlook for incremental demand growth for hydrogen on the U.S. Gulf from IMO 2020?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Yes, we expect that. I think that the industry has not acted because they are hoping that they would get some help from the White House and delay the implementation. But I don't know where that will go. But in Europe, people are pretty serious about implementing in that in the rest of the world. And we will, in time, see significant demand but, as I said, it hasn't really happened in the U.S. right now. It will take about three years before this thing – any new plan comes onstream. And I think most of the people here are thinking that at the end of the day, this will become like the auto emission thing. They wait until the last minute, nobody does anything and then we kind of say, okay, we delay it another four or five years. That's what the industry is hoping but I have no insight in terms of what the administration will do.
Stephen Byrne - Bank of America Merrill Lynch: Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you.
Operator: And we'll take our next question from Don Carson with Susquehanna Financial. Please go ahead.
Donald David Carson - Susquehanna Financial Group LLLP: Good morning, Seifi.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Hey. Good morning, Don. How are you doing?
Donald David Carson - Susquehanna Financial Group LLLP: Very good. Thanks. Couple questions. One, you talked about a slowing base business outlook. I noticed your growth for the full year was 10% ex-Jazan, it slowed to 6% ex-Jazan in Q4. Was that all due to the slowdown in global industrial production? And what's your specific industrial production forecast for your fiscal 2019 guidance?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, the first question – I think Simon had a quick answer for that.
Simon R. Moore - Air Products & Chemicals, Inc.: Yeah. Just remember, of course, that we didn't have any year-over-year volume benefit from the big plant in India this quarter and the prior four quarters we did. So that slows the comparator down.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Exactly. So it's the effect of the plant in India coming onstream. So we haven't really seen any slowdown in that respect. In terms of industrial production, Don, I mean you are more of an expert on this than any one of us here. I mean, we can't predict what's going to happen tomorrow. So you can ask me, I mean, what I can answer is that in terms of our guidance, the way we have come up with the guidance is that we have assumed that there will be no significant uptick, but at the same time, no significant downtick. So we are expecting or we are giving you our guidance based on the fact that things will stay about the same. So if there is any significant change up or down, then obviously we'll be affected by that.
Donald David Carson - Susquehanna Financial Group LLLP: And on the cost side, both in Europe with power and North America with supply chain, do you have the ability to surcharge for those two specific items? And if not, how do you expect to address those costs in fiscal 2019?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, we theoretically have the ability and I always every day challenge our people to use that ability and the contractual ability to increase the prices. But it obviously depends on what our competitors do. But those are the challenges that we have to face in 2019. And the way we have given you the guidance is that we have assumed that we will overcome those challenges.
Donald David Carson - Susquehanna Financial Group LLLP: Okay. Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you, Don.
Operator: And we'll take our next question from John Roberts with UBS. Please go ahead.
John Roberts - UBS Securities LLC: Thank you. Forget if you mentioned it, but are you a major oxygen supplier to many of these GE gasification locations?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: The existing ones, I think we are by far the most major supplier in terms of sale of gas, yes. But a lot of these projects that I'm talking about in the future obviously they haven't been built. But...
John Roberts - UBS Securities LLC: Right. But how many existing gasifiers do you supply oxygen to?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: We supply to about at least eight of them.
John Roberts - UBS Securities LLC: Eight?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: But some of them have four or five units, so...
John Roberts - UBS Securities LLC: Okay. So, eight.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: We supply more than 100,000 ton a day of oxygen to these people.
John Roberts - UBS Securities LLC: Okay. Thanks. And then, Praxair-Linde still have some divestments coming post closing assets in Korea and neon in the U.S.. I assume you would not be allowed to bid for those but I just wanted to check.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: We are not counting on it at all. That's correct.
John Roberts - UBS Securities LLC: Okay. Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you.
Operator: We'll take our next question from Jonas Oxgaard with Bernstein. Please go ahead.
Jonas I. Oxgaard - Sanford C. Bernstein & Co. LLC: Hi. Good morning.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Hey. How are you?
Jonas I. Oxgaard - Sanford C. Bernstein & Co. LLC: I am great. Two-part question, if you will. On yet another two on the coal gasification here. I was wondering if this also means a research push from you guys on developing better, more efficient, cleaner, et cetera. And if we could see an uptick in R&D spend as a result. And then the second question on the same topic here is my understanding was that the GE Shenhua venture was the provider of practically all the GE licensed gasifiers in China. How does that JV fit into with your plans of going into the gasification in China?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Great questions. First of all, your first question. Yes, it does mean that we are going to spend more on R&D. That is one of the reasons that you see a negative costing in 2018 performance. That's very true and we are committed to make sure that we provide the support for these technologies to improve forward. The other thing is that we are now, in China, a partner with Shenhua. That means that the way we bought this thing, we bought all the rights to the GE gasifiers outside China, it's all 100% ours. And in China, we are partner with Shenhua which is now called, China Energy Corporation. So, we are their partners.
Jonas I. Oxgaard - Sanford C. Bernstein & Co. LLC: Okay. How does that partnership interact with your strategy of becoming the builder/operator of these gasification units?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: It does significantly help because hopefully, they will bond to those new gasifiers and all of that and now, we are – I mean China Energy Corporation is one of the largest companies in the world. They are operating about, I think, at least 10 gasifiers in China, most of them do use GE technology, and they have plans for the future. So, we are very, very honored and happy to be a partner with the China Energy Corporation, former Shenhua.
Jonas I. Oxgaard - Sanford C. Bernstein & Co. LLC: Okay. Very good. Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you.
Operator: And we'll take our next question from Mike Harrison with Seaport Global Securities. Please go ahead.
Michael Joseph Harrison - Seaport Global Securities LLC: Hi. Good morning.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Good morning, Mike. How are you doing today?
Michael Joseph Harrison - Seaport Global Securities LLC: Doing well. Thanks, Seifi. Just going back to the EU, the European power cost situation. You've dealt with this fairly recently in the past, you seem to have managed through it, and now we're getting hit with what you called another surge. Can you quantify how much impact you saw this quarter and is it something that's carrying into Q4 and the fact that you dealt with these cost increases pretty recently, does that make it any easier to maybe pass this through to customers or get additional pricing?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, Mike, it's a very good question. Obviously, power costs are going to go up in Europe because I mean, you pay a price if you want clean energy and you don't want to use a nuclear power plants. Therefore, the cost of renewable energy and all of that is higher. The issue that they have with this power cost and all of that is that when they happen we have a program we understand how to increase prices to recover that which is not easy, but there is a delay factor. So, when it happens in a quarter, we are not going to instantly be able to recover that in the same quarter. So, usually we have an impact on the quarter and then one or two quarters later on, we have increased the prices and we recover that. So, there is a little bit of a phasing here.
Michael Joseph Harrison - Seaport Global Securities LLC: Understood. And then another question regarding the competitive environment. You talked a little bit about the change related to four major players now becoming three but we also have had some divestitures to call them somewhat smaller players that are going to make those two competitors a little bit bigger. Do you see them having a significant impact on the – in particular the merchant gas competitive landscape over the next couple of years?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, again, I mean, what do you want me to say? In terms of competitors, we consider we have two competitors. The rest of them are companies. We don't consider them competitors.
Michael Joseph Harrison - Seaport Global Securities LLC: All right. Thanks very much.
Operator: And we'll take our next question from Laurence Alexander from Jefferies. Please go ahead.
Laurence Alexander - Jefferies LLC: Good morning. Just two quick clarifications. The only capital outlay for the gasification this year will be the Jazan investment. Is that right or more of that $7 billion pipeline get pulled into 2019? And secondly, just comparing pages 16 and 24, it looks like you're calling out about $600 million of M&A. Is that future M&A related to bolt-ons or the captivation or is that including the gasification acquisitions?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, first of all, with respect to the first question that you had, let me put this thing in context because we are very careful about how we talk about these things. When we talk about M&A, that includes buying a company or it includes the captivation, so we expect that. The second thing is that in terms of spending money, for example, Juitai, we signed the contract last year $600 million. We are going to spend capital on building that plant obviously tomorrow and some other projects that they have won. So, that is why our capital expenditure for next year, we are giving you a guidance of $2 billion to $2.5 billion which is almost $1 billion more than this year, which is spending money on the projects we have won so that they come on stream in 2020 and 2021.
Michael Scott Crocco - Air Products & Chemicals, Inc.: Just to clarify one thing we did say the Jazan gasifier project is not included in our capital guidance. As Seifi said, we expect that to close late in 2019.And just one more point to make too is that on one of the slides, we're showing the remaining capital to spend on our commitments and the other one we're showing the total amount. So, I think that's the difference that you're talking about there.
Laurence Alexander - Jefferies LLC: Got it. Thanks.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Okay. Thank you, Laurence. Okay. And we have time for one more question. Yeah.
Operator: Perfect. We'll take our last question from Jim Sheehan from SunTrust. Please go ahead.
Peter Osterland - SunTrust Robinson Humphrey, Inc.: Good morning. This is Pete Osterland on for Jim.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Hi.
Peter Osterland - SunTrust Robinson Humphrey, Inc.: In Asia, you called out volume growth from Lu'An as well as pricing strength in the merchant market. And I'm just trying to size, can you estimate how much of the EBITDA margin uplift that you experienced during the quarter was due to each of these?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, the thing is that we said that half of our growth – I mean we have specifically said that Lu'An contributed $0.04 to our bottom line. So, that's about $12 million approximately.
Peter Osterland - SunTrust Robinson Humphrey, Inc.: Okay.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: And then merchant growth is basically – then we had some other projects coming on stream in addition to Lu'An. And then the merchant volume was about maybe 40% of the increase.
Peter Osterland - SunTrust Robinson Humphrey, Inc.: Okay. Thank you.
Michael Scott Crocco - Air Products & Chemicals, Inc.: Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, with that, I would like to thank everybody for being on the call. Thanks for taking time from your busy schedule to listen to our presentation. We do appreciate your interest and we look forward to discussing our results with you again next quarter. Have a very nice day. Have a nice holidays and all the best. Thank you.
Operator: This concludes today's presentation. We thank you for your participation. You may now disconnect.